Operator: Greetings, and welcome to the Faraday Future Intelligent Electric Third Quarter 2023 earnings call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jonathan Maroko, CFO. Thank you, Jonathan. You may begin.
Jonathan Maroko: Thank you, and welcome, everyone to Faraday Future's Third Quarter 2023 earnings call. We issued a shareholder letter, reporting our results and filed our quarterly report on Form 10-Q for the third quarter of 2023 this afternoon, November 13, 2023. Joining the call from Faraday Future is our Global CEO, Matthias Aydt, and myself, Jonathan Maroko, Interim CFO. You can find a copy of the Q3 2023 shareholder letter now, and a replay of this call later today on the investor relations section of our website at investors.ff.com. Please note that on this call, we will be making forward-looking statements based on current expectations and management assumptions. These statements reflect our views only as of November 13, 2023, and should not be relied upon as representative of views as of any subsequent date. Except as required by law, we undertake no obligation to revise, update, or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including the section titled Risk Factors in our latest annual report on Form 10-KA, and our quarterly reports for the second and third quarters of 2023 on Form 10-Q. In addition, during today's call, our management team will give their prepared remarks and answers to investors' questions in English. A translator will provide simultaneous Chinese translation, which can be accessed through ff.com. All translations are provided for convenience only. In the case of any discrepancy, management's statements in English will prevail. With that, I will turn the call over to Matthias Aydt, Global CEO of Faraday Future.
Matthias Aydt: Thank you, Jonathan, and good day, everyone, and thank you for joining our conference call. Before we begin, I'd like to say that it is a great honor to be appointed Global CEO, and that I'm excited to further leverage my experience in product technology, research and development to help elevate Faraday Future to the next level. Today, I will give you a brief update about our progress with our co-creation plants, production and delivery highlights, as well as an overview of the initiatives around our sales and service program. Following this, Jonathan will provide a review of our financials, covering topics such as fundraising, and measures we've implemented to strengthen Faraday Future. The third quarter has been a defining period for Faraday Future, propelling us further on our journey of innovation and growth. With the initial delivery of the FF 91 2.0 Futurist Alliance, we are now a revenue-generating company. Since then, we have delivered seven vehicles, and onboarded 10 new FPO co-creation users gaining invaluable feedback. With a vehicle that we are excited to show the world, we are now focused on getting the word out on just how amazing this vehicle is. And not just the vehicle, but communicating the entire vision behind Faraday Future -- the connected mobility, co-creation, and the lifestyle of tech luxury. To help build our brand identity, we hosted the inaugural FF Developer Co-Creation Festival at the Pebble Beach Concours d'Elegance, which has become an annual gathering of rare and antique automobiles, international automotive experts, and motor car enthusiasts from around the globe. Reaching this point did not occur overnight. In fact, this was a culmination of nine years of hard work and dedication by the team and $ 3billion of investments. With our innovative efforts, we were able to introduce this new to the market -- this all-ability vehicle with the performance of a sports car, the luxury of a sedan, and the terrain handling of an SUV. And all of this is fitted with the latest technology from entertainment to AI handling. Since reaching our initial production and manufacturing milestones, we are now focused on building our brand identity and scaling up production. Working closely with our co-creators, FF has been able to refine our product, and tailor it to the needs of our user group. We also grow our visibility and build our brand positioning and recognition in the ultra-luxury market segment. We further showcased the FF 91 2.0 Futurist Alliance's performance capabilities with an impressive lap record at both the Button Willow Raceway and Willow Springs Raceway, achieving record lap times in the SUV and crossover segments. In addition to our branding goals, our operational initiatives continue to progress as we remain focused on ramping production capacity. Building of our Q2 momentum, we made further production improvements by refining our manufacturing throughput and process. Specifically, our approach to producing batches has allowed us to embed a culture of continuous improvement, refining our processes with each production cycle. This meticulous attention to detail is carried over to the final quality checks as the vehicle undergoes comprehensive inspections -- static, dynamic, and functional -- to guarantee those that we fulfill our product promises to our users. As such, our final quality customer craftsmen audit, referred to as CCA, improved by 50% compared to the first CCA scores. Significant improvements continued to be made in vehicle build quality in terms of fit finish, and functionality of the vehicle. These improvements are measured through the point-based quality audits scoring system. The team is also working to optimize vehicle assembly. And here I'd like to comment Mr. Ning, our Head of Manufacturing and Quality, on the great job he has been doing with the factories. As we look forward, our focus is set on continued ramp of vehicle production and building our brands with co-creation. And these initiatives to more than just elevate our brand presence -- they cultivate a deep connection between FF and its community offering an enriched brand journey. We forged alliances with several industry leaders. Beyond our collaboration with Jason Oppenheim, we have teamed up with notable personalities like Chris Brown, Justin Bell and Derek Bell. The insight from our co-creation officers has been instrumental in reaching diverse assets such as brand strategy and user outreach. At its core, co-creation transcends mere collaboration. It's the manifestation of our commitment to centering our users in all our endeavors. Through collaborative partnerships with co-creators, the company believes that substantial value can be accessed across various aspects such as product development, technological development, brand amplification, trust and loyalty, pricing power, strategic positioning, and brand marketing. This paradigm sets us apart in the dynamic EV landscape, ensuring our offerings are not merely technologically superior, but also resonate with the ever evolving expectations and aspirations of our clientele. To complement our brand building efforts, our sales team was busy at work this quarter building out our sales and service capabilities. Here is an overview of our recent advancements. Leasing program launch -- in collaboration with luxury lease partners. We've initiated the leasing program for our FF 91 2.0 Futurist Alliance owners. With competitive pricing, customers can acquire our flagship model, with just a few electronic clicks in line with our vision of an intelligent electric future. LA flagship store -- construction is underway for our flagship stores situated in Beverly Hills' prime shopping district. This project promises both physical and digital experience, giving our users a glimpse into Faraday Future's intelligent mobility ecosystem. Mobile service fleet -- we've activated our mobile service fleet offering on-demand concierge service to our first FF 91 2.0 Futurist Alliance owners. GCLA sponsorship -- our sponsorship of the Greater California Livery Association, the core of California's luxury limousine industry, marks the beginning of promising collaborations with premier luxury limousine operators. Bureau of Automotive Repair license -- owning a license from the California Bureau of Automotive Repair is a testament to our commitment to uphold the highest standards in vehicle maintenance, warranty repairs, and service. Home charging installation program activation -- in alliance with Qmerit Electrification, we have launched our home charging installation program. The FF home charger, which supports up to 19.2 kilowatts, is a WiFi-connected smart charger compatible with most EVs. Public charging program -- ensuring uninterrupted travel for our vehicle owners, we've rolled out a public charging program. Every FF 91 2.0 Futurist Alliance owner is entitled to $1,000 charge and credits applicable across major US EV charging networks. We are dedicated to paving the way for a future where luxury and sustainability converge, and these endeavors are a glimpse of our unyielding commitment to our users and stakeholders. Looking forward, the company will host an FF Middle East strategy launch press event during the week of the Formula One Grand Prix in Abu Dhabi later this month. The Middle East market presents exciting opportunities for smart and autonomous vehicles, and is well aligned with our product technology and brand positioning. We look forward to this being our first of many events and collaborations in the Middle East. Now I will turn the call back to Jonathan, who will go over the financials.
Jonathan Maroko: Thank you, Matthias. First, I would like to summarize our financial results for the third quarter of 2023. One of the major accomplishments of this quarter was that it was our first quarter of generating revenue. Although it's a small amount of revenue at $0.6 million, it is still an important milestone for Faraday Future. Cost of goods sold was $16.1 million. The bulk of this $10 million plus was noncash depreciation of tooling and machinery. The majority of the remaining is manufacturing overhead costs, and to a lesser extent, labor and material costs. The higher cost of goods sold was driven by the natural inefficiencies of early-stage vehicle production, namely initial manufacturing inefficiencies, and a higher cost of parts resulting from low volume. The company is focused on continuing to reduce manufacturing and material costs. We believe with increased vehicle production and supply chain optimization activities, there is good opportunity for continuous meaningful reduction. We significantly reduced our operating loss to $66.4 million for the three months ended September 30, 2023 as compared to an operating loss of $80 million for the three months ended September 30, 2022. The change in operating expenses was primarily due to lower research and development expenses, as the company completed product development, and moved to focus on manufacturing, production, and sales. In addition, we significantly reduced our net loss to $78 million for the three months ended September 30, 2023, as compared to a net loss of $119.9 million for the three months ended September 30, 2022. The change in net loss was primarily due to lower operating expenses, and a gain in the change in fair value of notes payable and warrant liabilities, offset by non-cash settlement of convertible notes recorded in the third quarter this year. Turning to our balance sheet, total assets on September 30, 2023 were $579.5 million compared to $529.3 million on December 31, 2022. Total liabilities were $317.7 million versus $228.3 million on December 31, 2022. Net cash used in operating activities for the nine months ended September 30, 2023 was $240.4 million compared to $355.1 million for the nine months ended September 30, 2022. Capital expenditures were $10.8 million for the nine months ended September 30, 2023. Net cash provided by financing activities for the nine months ended September 30, 2023 was $237.6 million compared to net cash used in financing activities of $40.9 million for the nine months ended September 30, 2022. Cash as of September 30, 2023 was $8.6 million. On the funding side, during the third quarter, we raised $61.8 million through a combination of convertible notes, equity line of credit, and at-the-market financings. As the company matured and passed its one-year mark, as a regular filer, it now has access to better, less-dilutive financing through the public markets. Beyond equity financing, Faraday successfully tapped into asset-based financing for the sale leaseback of our Hanford, California manufacturing facility. Through this transaction, we unlocked up to $12 million in non-dilutive capital which is earmarked for vital plant enhancements and foundational developments crucial for the FF 91 2.0 Futurist Alliance's production trajectory. In this transaction, we did not sell any physical assets. We were leasing Hanford previously and have now simply changed landlords. We did not sell any of our equipment. The factory continues to operate normally. With the additional capital, we've initiated several facilities projects at Hanford in order to gear up for the next production phase. In addition to showcase the unwavering faith our leadership has in Faraday Future's vision, we unveiled a new management stock purchase plan. Senior leaders, along with key members of our management team, are pledging to allocate 50% of their three month salary towards acquiring FF's class A common stock directly from the company, subject to shareholder approval. As we forge ahead, Faraday Future remains dedicated to its three-phase delivery strategy. Since initiating Phase 2 co-creation deliveries on August 12, our focus is now firmly on scaling production of the FF 91, and furthering our co-creation efforts throughout 2023. We aim to reach Phase 3 co-creation delivery by the end of Q1 2024. In line with Faraday Future's ongoing factory enhancements and production plans, the company targets producing approximately 1,000 vehicles next year, subject to availability of requisite capital, supply chain capacity and stability, and necessary permits. We have invested significantly in our factory and equipment in the past, so it is ready to scale easily. At our upcoming Investor Day on November 15 at our Los Angeles headquarters, we will give more details on our announced master plan aimed at reinforcing the company's stability. This strategic blueprint is designed to nurture sustainable profitability while simultaneously curbing dependence on external financial sources. Immediate priorities are centered on streamlining operational expenses, and refining the organizational framework, which includes a reduction in overhead that does not directly contribute to the FF 91 2.0 Futurist Alliance's production. Additionally, we are keenly focused on optimizing costs associated with the materials and production of the FF 91 2.0. Supported by --  To emphasize, we are in the second phase of a three phase delivery plan, and successfully delivered vehicles this quarter. In this phase, we are delivering vehicles to users who are also providing us with valuable feedback and helping us in our sales and marketing efforts. We believe these deliveries are very beneficial to Faraday Future, and an incredibly cost effective way to rapidly improve vehicle quality, performance, and to promote our brand. Thanks to feedback from our co-creators we have improved the performance of the FF 91 2.0 Futurist Alliance across all dimensions. A specific example was the reduction in its lap time by seven seconds on the Willow Springs International Raceway, making it faster than the Lamborghini Urus. On the funding side, thus far, we have been able to raise capital as needed, given what we believe to be an undervalued stock price, we have been hesitant to raise much more than we need to operate in the immediate term. As such, we've continued to slowly extend our runway, which we believe will allow us to get to the point where we can potentially close on a significant investment from a strategic partner. In terms of fixed costs, in the third quarter, we embarked on an aggressive cost-cutting campaign, focusing on our G&A expenses. This is a part of a continued cost-cutting exercise, and we believe the efforts of this campaign will be seen in our fourth quarter results. Lastly, I'll quickly discuss the performance of our stock. From an operational perspective, Faraday is the most mature it has been in its history. We are delivering vehicles, generating revenue, and slowly but surely increasing our production. We have a new senior management team that is passionate and capable, and committed to making Faraday Future success. Members of the management team have voluntarily taken significant salary reductions and made commitments to purchase FFIE's stock, because we believe in the company's future success. Most importantly, we are in talks with strategic investors and partners to bring in meaningful and potentially transformative capital. Still, our stock price has fallen dramatically. We are taking steps to attempt to halt and reverse that decline. We have seen large failure to deliver data in recent months, which can be indicative of illegal naked short selling. We've engaged shareholder intelligence services to give us actionable intelligence on potential market manipulation and illegal short-selling. We will provide an update on this before year end. Reaffirming our strategic vision, we remain resolute in our mission to grow Faraday Future towards cash generation and profitability, aiming for breakeven operating cash flow as early as 2025.
Matthias Aydt: Thank you, Joe. Once again, I find myself deeply impressed by the steadfast commitment and tireless contributions of the FF team in reaching this pivotal moment in our delivery schedule. I wanted to close by reiterating some of the key points we'd like investors to take away from this earnings call. Faraday Future is now a revenue-generating company, with vehicles running on the streets of Southern California. We are focused on showcasing our vehicle and building our brand, a lot of which is done through co-creation partnerships, which has proven to be hugely beneficial for FF. Co-creation has not only helped us increase our reach, but co-creators have also been instrumental in helping FF increase our product power, improving all aspects of the vehicle -- from design, features. and tech. The vehicle our users will receive at our final Phase 3 delivery will be a stronger product due to their contributions. We are looking to ramp up production. The factory is not a bottleneck and is ready to produce more, but we are limited by our liquidity, which is causing some supply delays. Jonathan and the team are working actively to secure additional financing, and we have a good line of sight on some potential investments opportunities from investors who are also interested in partnering with us for the longer term. And lastly, we are excited for all the opportunities ahead. Our upcoming events in Abu Dhabi, alongside with the Formula One Grand Prix, and look forward to sharing more with the public in the coming months. Operator, we are ready to take questions.
Operator: [Operator Instructions]. Our first question is from Michael Ward with Benchmark.
Michael Ward: Thanks very much. Good evening everyone. Jonathan, first off, on page 33 of the handout -- I just wanted to clarify the timing of some of the financing. I think you mentioned September 2, $90 million of Class A common stock was issued, I assume that closed after the end of the quarter?
Jonathan Maroko: That's correct.
Michael Ward: Okay. So the new share count is $57.4 million from what I can read on the Q on page 1? That's right?
Jonathan Maroko: That's correct.
Michael Ward: Okay. Second thing in the letter, you mentioned seven deliveries, and I was just curious if that was Q3 or was that year-to-date? And I wonder if you can clarify how many were in Q2 in the revenue number?
Jonathan Maroko: Sure. And so I think you misspoke in Q2, zero. In Q3, cumulative there were seven. So that's correct.
Michael Ward: Okay.
Jonathan Maroko: Okay.
Michael Ward: Now, I think, when I look at the landscape, virtually every EV manufacturer has struggled to meet production targets, even Tesla when you go back over the last 10 years. What I'm curious about is what is Faraday specifically doing that gives you confidence that you can get to 1,000 units next year and then eventually get back closer to capacity of 10,000?
Jonathan Maroko: And Mike, before I answer that, can you just repeat the question? You had on the ATM. I want to make sure I answered it correctly
Michael Ward: Which one?
Jonathan Maroko: Regarding the ATM.
Michael Ward: On slide 33, it said on September 27, you entered into the ATM. Offered to sell up to $90 million Class A common stock. Did you sell that stock and did it close after the end of the quarter? So we're going to see a cash infusion?
Jonathan Maroko: Yes, correct. So first of only partial, of course. We disclose how much in the 10-Q. We still have plenty more to go on that program. The bulk of that actually occurred in 4Q and so --
Michael Ward: Okay.
Jonathan Maroko: As for your question, I'll let Matthias Aydt handle that.
Matthias Aydt: Yes, Michael, I think if you look at what we have set up for our operations, we have a plant which has finally installed capacity of 10,000 units per year. And if you compare that with 1,000 vehicles for the 1st year of full production, then this is only 10%, which allows us to ramp up according to, on one hand, getting the necessary liquidity into the company, and on the other hand, to achieve the right level of maturity with the product as well. So we are not are on this journey by ourselves. All our supply base has to come with us preparing for the ramp up to go to 10,000 units per year volume. And we are focusing on getting that within the coming years settled. So we are foreseeing not an issue to achieve 1,000 vehicles production volume this next year. We are still in the process of figuring out how many vehicles we will be able to to deliver to the market as we have to look into the build-out of our sales and distribution network.
Michael Ward: Okay. And maybe Matthias, you could provide a little detail of your background, and what that adds to the equation with Faraday, and what your experiences in the past can can help to get to those targets?
Matthias Aydt: So I'm not the person to really brag about myself, so I'm handing that over to Jonathan.
Jonathan Maroko: Okay. Matthias does have quite a bit to brag about, and I'll take a portion of that, and some more color, so everyone can understand his background. First off, though, I'd like to really thank XF for his pivotal role in taking the company to where it is today. He got us through the start of production and the start of delivery -- the vehicles. And then we're looking forward to him furthering our efforts in China, and helping helping us realize our dual home strategy in the US and China. But as for Matthias, he has been with Faraday for over seven years. He's had many previous roles here. He even served as a Board member at one point, and most recently he was in charge of product execution. He was also the head of product definition, mobility ecosystems, and business development. And I'll say he's very well-respected within the organization. In terms of his experience in the automotive world, he's had 40 years of experience, luxury performance, car OEMs, various roles. He's worked at, and worked with, Porsche; Ferrari; Cadillac; Corvette; even at Volkswagen Group. He knows the extreme quality expectations required to deliver Audi and VW products, and even played a major role in the development of the Bentley Azure. So he has deep knowledge and experience in delivering very high-quality vehicles end-user. I think truly the ideal person to lead FF at this stage of our delivery cycle. He's very, very committed to the company -- to the employees, the users, and the investors. And on a personal note, while I've only been here a short while, I've seen firsthand experience that he's truly the perfect leader here. And while the outside world may see us just as an automotive, manufacturing company, we're truly a high end vehicle manufacturer as well as a cutting edge software company. He has been really able to bring together all the hardware software minds in the company, and he's really looked up to and respected. And I'd also note that he's brought more clarity to the path forward for our company. He developed the master plan and put together five year strategic goals almost immediately upon being named CEO. And these are things we've all bought into, and it's something you'll hear more about at our Investor Day on Wednesday.
Michael Ward: I really appreciate that. Thank you.
Jonathan Maroko: Of course.
Operator: Our next question is from Stephen Gengaro with Stifel.
Stephen Gengaro: Thanks. Good evening, everybody. Thanks for taking the questions. I think, first, I was fortunate to be able to go down to Hanford and see the facility, and I got at least a pretty good glimpse of what was going on. But you've been producing, I believe thus far kind of in batches. That's helped with your manufacturing capabilities. But can you talk a little bit about how you what you need to do as far as equipment and and maybe even capital to kind of get to that mass production levels to start to really ramp production?
Matthias Aydt: I think we need to put the mass production into perspective. So I said we are aiming for an installed capacity of 10,000 units per year. We will achieve -- in a first step in the middle of next year -- a lower number of installed capacity because we are still using a shortened line for vehicle assembly, which will give us 2,500 capacity. And by the end of next year, we will ramp up to the 10,000 units per year, which is two jobs per hour in three shifts. What we need to do, we are in the final steps of fine-tuning the production processes in the body shop, in our closures built, and in our paint line. So far, we have been painting in the rework area, the first vehicles. And we are in the final step to get our fully automated paint facility, paint tools set up. So our supplier for the paint shop is doing the final steps there. And with that, I think we are well set to start the process of ramping up into a continuous build instead of a batch build. So the batch build allows us to run basically the build on a normal build schedule from a manufacturing time. But we need to size it to an output which fits to the vehicles we are able to produce from a parts availability standpoint. And also we need to add the time to optimize the quality, and finish the final checks on the vehicle. We have established an incoming inspection on top of the outgoing inspection of our supply base. So all of this is tailored into the manufacturing, which takes time at the moment, and is handled through the batch build. And as soon as we have a more stabilized material flow, and more stabilized quality inflow, we will be able to go to in line build, which gives us 0.5 jobs per hour in the middle of next year.
Stephen Gengaro: Great. That's very helpful. And then just one more as it relates to manufacturing and on the cost side. Any color you can you can add as far as how you how you optimize cost, particularly when we're talking about the materials side?
Matthias Aydt: So let's let's go back to the first step is finalizing our manufacturing optimization. Finalizing the manufacturing optimization gives us a, first, cost reduction. I think it's easy to imagine that we have extreme costs at the moment with this low volume. And as Jonathan mentioned, we have a burden on overhead costs. As soon as we are getting there to run more stable, this cost will decrease without having any additional activity going on on the material cost side. The next step is we have been looking into our most expensive systems, and started the process of in-sourcing the systems to be able to reduce the cost there. And also a very nice number of dollars to get to breakeven cost coverage for cost to the MSRP. And then the next step will be that we go into a process together with our supply base to look into the value stream and optimize the overall process together with them to achieve cost reductions by ramping up to plant capacity volume. We will need the next year to go into a region that we can see that we have reasonable material cost coming in from the supply base. And the next step we will focus on is, you know, the last nine years, we have been focusing on delivering this car. So not in every case, we have result in a cost effective design solution. So we will run through what is necessary to be optimized from a design perspective and construction perspective to allow us to harvest cost reductions on changing existing designs. And then the next thing is we have a dual home market space, which is not only true for -- on one hand selling cars. On the other hand, it's also very true for allowing us a huge reduction in material cost, which takes a little bit of time, but that is the progress we are planning to do over the next two years.
Michael Ward: Great. Thank you for the details, John.
Operator: Our next question is from Laura Li with Deutsche Bank.
Laura Li: Hi. Well, thank you for your time. So my question will be about financing. I think you already talked a little bit about this, but are there other non equity financing you are considering?
Jonathan Maroko: Sure. Yes, we certainly are. We're continuing to look to finance the company on the least dilutive way possible. So one, as we mentioned, was the indirect sale leaseback of Hanford. And that was helpful for freeing up capital to fund tenant improvement. Tenant improvements that are required to help us scale our production, but more significantly, we've been in discussions with potential IP-based lenders. And based on these talks, we think we can raise a meaningful amount of capital hopefully sometime in 1Q 2024. This would be subject to revaluation of our intellectual property portfolio, which was last valued in 2019 by an independent third party at about $1 billion. So we're optimistic on this.
Laura Li: Okay. Well, thank you for that color. So I'm also thinking about the convertible notes. I saw you stopped issuing the new ones. Do you have any plan to restructure the current convertible notes?
Jonathan Maroko: Sure. Yes. That certainly ties into moving away from dilutive financing. And so we're doing whatever we can to move away from these existing converts. We're always looking to improve financing options and terms. With these specific existing ones, we're in talks to either restructure or to limit the impact of those conversions.
Laura Li: Okay. Well, okay. Thank you so much.
Jonathan Maroko: Of course.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to management from the closing comments.
Matthias Aydt: I'd like to come back to a question, Michael, you raised in regards of how to hit the volumes we are targeting in next year. I think if you look at into our setup, we are in a very unique situation with Faraday. On one hand, we are focusing on a market segment which is very unique. It's close to be a blue ocean market, with the product we are placing. So we are not facing a lot of competition as potentially Lucid and Rivian are facing in the approach they have chosen. And the other element which comes to play is if you look into size of the operation we have chosen to execute in the beginning of our company, it is small enough to be very fast coming to a cash flow breakeven. So if you look at Lucid and Rivian, they have they have decided to invest into far bigger operations, which need a lot of a lot of volume to get to a point that they can generate profits. And as everywhere in the business, it's basically the last days or the last months of the year deciding about the money you're making. And the rest is just to cover the cost. So covering our costs is based on a far lower volume, which we can achieve in 2025, latest two, let's say, in beginning of 2026 to have a breakeven. And that gives me a very positive look forward that we are in a very favorable situation at the end of next year and then through 2025. There's even studies out there from companies like Mackenzie that exactly this market segment is the one which is growing over the next years in comparison to other markets. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.